Operator: Good afternoon and welcome to RioCan Real Estate Investment Trust's Third Quarter 2016 Conference Call for Thursdays, November 03, 2016. Please go ahead.
Christian Green: Hello everyone I am Christian Green AVP, Investor Relations for RioCan. Thank you all for taking the time to join this afternoon. For today's presentation Cynthia Devine, Executive Vice President and Chief Financial Officer for RioCan will begin with her review of our financial results. Followed by Rags Davloor, RioCan's President and Chief Operating Officer, who will report on the Trust's operating performance; and finally before taking your questions, Edward Sonshine, RioCan's Chief Executive Officer will deliver his perspectives on the quarter. Before turning the call over to Cynthia, I am required to read the following cautionary statement. In talking about our financial and operating performance and in responding to your questions, we may make forward-looking statements including statements concerning RioCan's objectives, its strategies to achieve those objectives, as well as statements with respect to management's beliefs, plans, estimates, and intentions and similar statements concerning anticipated future events, results, circumstances, performances or expectations that are not historical facts. These statements are based on our current estimates and assumptions and are subject to risks and uncertainties that could cause our actual results to differ materially from the conclusions in these forward-looking statements. Also in discussing our financial and operating performance and in responding to your questions, we will also be referencing certain financial measures that are not Generally Accepted Accounting Principle measures or GAAP under IFRS. These measures do not have any standardized definition prescribed by IFRS and are therefore unlikely to be comparable to similar measures presented by other reporting issuers. Non-GAAP measures should not be considered as alternatives to net earnings or comparable metrics determined in accordance with IFRS as indicators of RioCan's performance, liquidity, cash flows, and profitability. RioCan's management uses these measures to aid in assessing the Trust's underlying core performance and provides these additional measures so that investors may do the same. Additional information on the material risks that could impact our actual results and the estimates and assumptions that we applied in making these forward-looking statements, together with details on the use of our non-GAAP financial measures can be found in the financial statements for the period ending September 30, 2016 and management's discussion and analysis related thereto as applicable, together with RioCan's current Annual Information Form, that are all available on our Web site and at www.sedar.com. Cynthia?
Cynthia Devine: Thanks, Christian, and good afternoon everyone. We are pleased to review RioCan's third quarter results that were released earlier today. There were a few significant transactions that transpired over the quarter, two of which we mentioned in our last call. First, there was the acquisition of CPPIB's interest in four properties that were previously co-owned. Secondly, we entered into a firm agreement to sell the residential density at the Well. And finally, we completed a four year $250 million senior unsecured debenture offerings at the lowest coupon rate ever issued by RioCan on a debenture at 2.185% Now, onto the financials for the quarter. Net income from continuing operations, or Canada is $254 million compared to $130 million in Q3 last year. Representing an increase of $141 million. Excluding $104 million in fair value adjustments from this increase, net income from continuing operations for the third quarter of 2016 is $141 million compared to $105 million in 2015 representing an increase of $37 million or 35%. The largest contributor to the growth in net income this quarter is $16 million of income primarily due to contributions from net properties acquisition and increased same properties performance, partially offset by $3.8 million in lower lease cancellation fees in this quarter. Also contributing to the increase in earnings is $10 million in transaction gains due to the disposition of a portion of RioCan marketable securities during the quarter. Finally, transaction gains of $6 million related to the disposition of an investment property in the quarter as compared to a loss of $7 million in the prior year's quarter contributed a $13 million year-over-year improvement. These gains are partially offset by increased transaction cost of $1.4 million as a result of the higher transaction activity in Q3, 2016. As anticipated, operating funds from operations or OFFO which reflects the combined result of both continuing and discontinued operation declined this quarter versus last year. As this was the first full quarter without our U.S. portfolio. While the sale of the U.S. portfolio has reduced to our earnings in the quarter. The repatriation of the proceed from the sale it helped strengthen our balance sheet which I will discuss in more detail shortly. OFFO is $131 million in Q3, 2016 as compared to $140 million in Q3, 2015. On a per unit basis, OFFO is $0.04 lower at $0.40 for the third quarter as a result of the sale of our U.S. operations. However, we generated strong OFFO growth in our Canadian business. OFFO from continuing operations increased 16.1% in Q3 2016, as compared to the same quarter in 2015. Our Canadian operations benefited from additional NOI from acquisition, lower preferred distribution and interest expense savings as a result of lower interest rates and lower debt balances. FFO was flat year-over-year, as the FFO generated from acquisitions together with the gain from the sale of marketable securities essentially replaced the FFO loss from the sale of the U.S. portfolio. Third quarter same-store NOI growth in Canada is again positive up 1.1%. Canadian same-store NOI increased due to higher rental income from new leasing including backfilled spaces, increased rents from renewals and rent steps, as well increased percentage rents. The impact of target co-tenancy losses on same-store NOI was slightly favorable this quarter, due to the reduction of certain co-tenancy abatement provision setup in the prior period, which more than offset the current quarter expenses. For the fourth quarter of 2016, we anticipate the co-tenancy claims to be very minor and we expect the year-over-year impact to be favorable as we rollover higher claims recorded in Q4 2015. Same property NOI growth in Canada is also positive up 2% in Q3 2016. Same property NOI increased for the same reasons as same-store NOI, but also includes the positive contribution from the completion of development projects including a porting of the target backfilled at three locations. General and administrative expenses increased slightly by $0.3 million or 2.7%, primarily due to increased equity compensation costs and an increase in net non-recoverable salaries and benefits to the severance costs and general merit increases. These increases are partially offset by lower other G&A costs primarily related to information technology and marketing mainly due to timing. Our payout ratio on an AFFO basis for the rolling 12 month ended September 30, 2016 is 90%, an improvement from 91.6% to the 12 months ended September 30, 2015. This ratio will continue to be in area of focus going forward. We expect that there will be some short term pressure on this ratio as annualized effect of the U.S. sales are more fully reflective over the coming quarters. However, acquisitions that have been completed over the past 12 months and anticipated lower interest costs have and will continue to mitigate to a large extent with dilutive effect of the sale and we expect this ratio to remain well below 100%. Now looking briefly at our capital structure and leverage. During the quarter I mentioned earlier, we completed the offering of $250 million series X senior unsecured debentures. These debentures mature in 2020 and carry an interest rate of 2.185%. Our leverage ratio at RioCan’s proportionate share at the end of the quarter remained just below 40% at 39.9%. We are targeting to stay within a range of 38% to 42%. Although we anticipate with our stepped up development activity, this ratio will move toward the high end of the range over the next 12 months to 18 months. Leverage has been and will continue to be an area of emphasis by the trust to manage risks and we will continue to be disciplined in our approach to balanced investments and our development program with the management of our capital structure. The trust debt to adjusted EBITDA ratio improved this past quarter however it remains above 8 times at September 30, 2016. And we will continue to work in this ratio over the longer term as we strive to grow EBITDA. We again increased the pool of unencumbered assets which at September 30th exceeded $6 billion. Furthermore, we continued make progress in driving the percentage of annualized NOI generated by unencumbered asset to our target of above 50%. At September 30, this ratio is approximately 46% as compared to approximately 25% at December 31, 2015. We intend to continue to recycle capital through the disposition of investment properties and marketable securities as we demonstrated this past quarter. The proceeds of such disposition will be used to invest in higher long term growth opportunities and to help maintain our strength in financial profile as we execute our strategy to intensify and redevelop our properties in Canada's major market. Our portfolio is performing well. Showing momentum in same store results and strong overall growth in our Canadian platform that we were able to generate this top further. With that I’d like to turn the call over to Rag, for an update on our operation.
Rags Davloor: Thank you, Cynthia, and good afternoon everyone. I am pleased to provide operational highlights for the third quarter of 2016. While the economic climate continues to be uncertain there have been some signs of improvements and past several quarters we are seeing stabilization in much of our portfolio. This trend towards stability has translated into improvements in our operating results in a variety of our key operating metrics. The market still have some challenges but the overall health of our portfolio is improving. With respect to the leasing environment, overall sentiment has been more upbeat than last year. The Toronto ICSC in September was very busy and we're seeing positive activity in many sectors including grocery, restaurants, and beauty. Urban markets continue to remain very strong as retailers are seeking locations to access these areas of high population density and growth. Over the three months ended September 30, 2016, RioCan completed 439,000 square feet of new leasing. The portfolio committed occupancy rate increased from 91.5% of June 30, to 95.3% at September 30. RioCan's economic occupancy rate increased to 92.3% of June 30 to 92.5% September 30. Gross income attributable to tenants that have committed to space but have not commenced paying rent is $23.6 million annualized. As tenants commence operations the gap will reduce to more typical levels with 70% of this revenue expected to come online over the next 12 months. RioCan completed a 159 renewals in Canada representing 857,000 square feet of retail space. During the quarter at an average rental rate increase of $1.22 per square foot or 6.6%. The strongest performance in the region in the third quarter was Ontario where we experienced average rental growth and all leased renewed at $1.86 per square foot or 8.9%. Year-to-date Alberta has demonstrated the strongest growth with an average increase of $2.09 per square foot or 10.3%. Overall we continue to see good results from Alberta and it remains as the highest occupancy province at 98%. RioCan renewed 83% of total GLA that expired in the quarter. The retention rate for Q3 2016, which is lower than our historic average of 90% was negatively impacted by the vacancy of two grocery stores in the secondary markets, one of which has already being partially backfilled. The only noteworthy bankruptcy in Q3 was Golf Town. We expect that the impact to our portfolio will be relatively small. To date we have received disclaimer notices on three of our12 locations, with these three locations representing 40,000 square feet, paying $1.1 million in annualized gross rent. Negotiations are already underway with several national retailers to backfill the disclaimed locations. Our outlook for 2016 remains cautiously optimistic. In Q3 2016 same-store growth was 1.1% and same property growth was 2% provided there are no deterioration in retail and economic conditions, we expect that both metrics will be positive for the fourth quarter and full year 2016. Economic occupancy and same property growth are expected to return to historical normal levels over the next 12 to 18 months as our target backfill plans are completed and tenants commence operations. I would like to take a moment to highlight progress of Q3 in our ongoing efforts to lease and have tenants open in our former Target premises. 18,000 square feet was leased to Michaels at Stratford Centre. And 8,500 square feet was leased to Mark's Work at Gates of Fergus. In addition, several replacement tenants have recently opened in former Target premises including Dollarama at Gates of Fergus, H&M at Charlottetown Mall, and PetSmart at Lawrence Square. In addition to progress with our existing income producing portfolio, our development, redevelopment and residential programs continue to be very active. Construction on the third phase of East Hills Shopping Centre in Calgary was completed in Q3 2016. Seven tenants totaling a 135,000 square feet including Marshall's, Michaels, PetSmar; Bed, Bath & Beyond; and Sport Chek, opened between late August and early October. Costco also opened in August in 160,000 square store they built on a 15 acre parcel of land that they purchased from the joint venture partnership earlier this year. At RioCan Colossus Centre in Toronto, construction was substantially completed in Q3 114,000 square foot newly constructed space. Bed, Bath & Beyond and Buy Buy Baby opened in October 2016 and four additional tenants totaling 64,000 square feet are expected to commence operations in the remainder of Q4 ’16 and Q1 ’17. At Sage Hill in Calgary construction is also nearing completion, a 36,000 square foot London Drugs was provided possession in Q3 2016 and is expected to open in November of 2016. As our residential intensification sites, there were number of milestones achieved in the last three months. At 740 Dupont Street in Toronto notice was received from the existing tenant that they will vacate on September 30, 2017 which allows the property to be redevelop into a mixed use retail residential property. All zoning approvals have been received and construction can now being in Q4 2017. Zoning approval was received at Brentwood Village for a mixed use of retailers/residential building. The building will contain approximately 10,000 square feet of retail space and an eleven storied 165 unit residential building. Construction will begin in Q3 2017. At Silver City Gloucester in Ottawa, demolition of a portion of the site and site servicing work is expected to commence in November 2016 and construction is expected to begin in January 2017 on a 23 storied, 220 unit residential building. At The Well in Downtown Toronto, a binding agreement to sell the residential component of the project to Tridel and Woodbourne was completed in Q3, 2016. The currency occupancy occupants of the building on the site are expected to vacate by the end of 2016. Construction on this land mark 3 million square foot mixed-use will begin in early 2017. RioCan has obtained zoning approvals for 11 mixed-use projects in our portfolio with an additional 12 applications pending. Nearly 50 sites in our portfolio have been identified as having strong potential intensification opportunities. Construction is underway at two of this sites and we expect to have started construction on four more by the end of 2017. We expected to begin to receive rent from the project at Yonge Eglinton and King and Portland in late 2018. We are forecasting the between our target backfill openings as well as completions from our greenfield and urban intensification development programs approximately 3.3 million square foot at 100% or 2.2 million square foot at the RioCan's interest will commence operations from now until the end of 2018. These new revenue streams will make significant contributions to our growth in the next three years with the full impact being recognized in late 2018 and into 2019. As was stated last quarter, the ongoing improvements in the variety of our key operating metrics are reflection of the positive momentum that’s taken hold in the past few quarters. We are well-positioned for growth in the short term as a result of successful execution for our target backfill plans and through consistent organic growth we were able to produce from our high quality portfolio that is predominantly located in Canada’s 6 major markets. Over the long term, our development pipeline will ensure that we continue to be well positioned for future growth. This should enable the potential projects that the Trust has available to capitalize on as expected to keep the pipeline fill for the next decade. Those are the operational highlights. I’ll now turn the call over to Ed.
Edward Sonshine: Thank you very much Cynthia and thank you very much Rag. During our call at the end of the second quarter, I talked probably too much about the transpiration that RioCan has been going through over the last several years, but in particular in the last couple of years. While there are still lots of steps to take and much work to be done. The road we are on is becoming increasingly smoother and more clearer. What we are beginning to see in the operating results that you’ve heard about, our development progress, the progress in leverage metrics, they’re all the results for strategic decisions that we've made over the years. First was the decision over a decade ago, to focus on the 6 major markets of Canada to the point where they are today over 75% of our revenue. They represented today, they’re over 75%. Put simply with a strategy based on the oldest real estate truism, that real-estate is all about location. Where this is already showing up is in the same property and same-store growth that we have achieved this quarter. And the terrific progress in the releasing of the target source. While I believe we have the best leasing group around, they can only be as good as the location of the assets you are counting on them to lease. While same-store growth is reported as one quarterly number it varies quite often significantly, between major and secondary markets and over a period of time occupancy rate will show that same variability. Secondly, our decision to enter the U.S. market and then exit is also paying dividends in many ways. By repatriating our investment and realizing the very significant profit we created, it has enabled us to reduce our leverage and improved all of our debt metrics. At the same time, it has freed up our talented people to focus totally on Canada, thereby accelerating our progress across our spectrum of activities. Lastly, our decision several years to go include a rental residential component in our intensification program has starting to look better and better. Not only are residential rents rising generally, with many factors pushing the extraordinary demand growth, it has become clear that people are prepared to pay the extra costs for newly build apartments to the point that many of you have read that there are bidding wars for rental units in the right locations. And every one of our planned portfolio is in the right location. It’s either extremely urban, transit oriented or in the most cases, both. I firmly believe that all of our pro formats relating to this residential component are and as they should be -- as they are based on current and historical rents, will prove to be quite conservative, as we’ve come to actually leases these apartments in the coming years. So improving operational results, an active development program which at the risk of repeating it too much, which includes the beginnings of what will be the best residential portfolio in Canada. All underpinned by what for RioCan is the lowest leverage and strongest balance sheet essentially in our 23 year history is where we are, they are all essential parts of our goals. So what are those goals? On a strategic rather than tactical basis in my mind they are quite simply two. First, creation of and growth in net asset value through development, repositioning of existing assets and improved operating results. Second, by reason of our success in achieving foregoing, commencing once again to be in a position to consistently increase our distribution to our unit holders. There will be many tactical steps in order for us to achieve these two goals and life them consistently. But all the pieces are in place, both from a human and a capital perspective and I’m quite confident that over the next couple of years, these strategic goals will be achieved and thereafter maintained. The team of people and the organization we now have in place is in my opinion as good as it gets, and I have no doubt they will get us to where we need to go. Thank you for calling into our conference. And now I’d like to open it up -- I’m sorry if I’m stumbling tonight, I was up for me really late last night watching probably one of the best ball games ever and without the BlueJays in it. And so now I'd like to open it up for questions.
Operator: Thank you. [Operator Instructions]. And the first question is from Sam Damiani from TD Securities. Please go ahead.
Sam Damiani: First, on the residential strategy, I wonder if I could just -- point of clarification. In the MD&A, you talk about 10,000 suites to build over the next several years. How many of those do you anticipate to be retained for rental income on RioCan's balance sheet?
Edward Sonshine: I think that’s 10,000 and I’ll let Cynthia add to it. But 10,000 that our goal in the next decade are be rental/residential. The overall residential that we are creating is a number quite above that. I don’t know Cynthia if you want to add some specific to that.
Cynthia Devine: Exactly right 10,000 and the number again is going to move around because as you sell our air rights and things like that, do you remove those from the numbers, they’re ultimately what we contemplated in the original targets we've had, but things are continuing to evolve in particular with announcement like -- the announcement we made the Well. But the 10,000 in particular is over the next decade, would be residential suites in our portfolio.
Edward Sonshine: Rental/residential. Correct.
Sam Damiani: Okay. I guess one of the first projects to be -- to reach completion and leasing up is Yonge & Eglinton in there. I wonder if you could share with us your thoughts on in terms of market rents and yields on that project today versus a couple years ago.
Edward Sonshine: You know what that -- that's really tough. I don’t want to get into yields and stuff like that because there is too much information there and a lot depends on allocation between the condominium side and rental side and we have partners in it. So I really don’t want to get into those levels of details. And in our pro formas, well thankfully we haven't changed any of the rents that we use in our pro formas. It's an old mug's game changing a pro forma because of later information and that's why I make the comment I did, it’s quite correctly -- excuse me, is based on historical information as to the rents in the area. And its' based on some consultants guest because the fact is, nobody's build a brand new rental building at Yonge & Eglinton forever. So it's based on all of those things, but with what I see happening in the market. I have no doubt that the pro-forma rents that we put together probably about a year and a half ago, when we really just made the decision to make that a rental building, will be well exceeded by the time we come to start leasing the unit. Probably of our mid 2018.
Sam Damiani: Okay. And just flipping over to leverage, the range of 38% to 42%, high end over the next 12 to 18 months, is that where you expect it peaking and then coming down as we head into 2019?
Edward Sonshine: I think the answer is probably yes. But you know I hate the go out more than 18 months in assuming what's going on in the world. I can tell you that on an ongoing basis, we made the determination that we feel pretty good about RioCan in and around that 40% number and it’s, it’s a very important metric, but keep in mind there our other metrics as Cynthia pointed out, there is the multiple of EBITDA and so on, debt. There is half a dozen metrics we track, all important. So you know to say yes that’s peak and then it’s going to go down, I think that would be more than we’d be willing to pin ourselves down.
Cynthia Devine: Is kind of consistent with what we’ve spoken about over the past, at least 12 months. In that 2017 and to a great 2016 were years where we’re putting a lot into development pipeline an then as Rags talked about in his remarks, we don’t see a lot of that coming out of the pipeline until kind of late ’18 and into ’19. So this stepped up development stand is what’s really driving us to that high end and then beyond that hopefully we do start to bring some chunkier kind of development properties on stream.
Sam Damiani: Right, I'm just trying to gauge the pace of dispositions as a way of balancing off the leverage going forward.
Edward Sonshine: Yeah, I know that’s -- I understand where you’re are coming from. It’s difficult because we are not quite sure what it is ourselves. What we’re going to be focusing on, on the disposition side, well actually be dispositions that don’t currently have any income. We are going to do that best we can on that and that would mean just that as we’ve said, some of the air rights that we create, we will sell off. We are not losing any income as a result of that, and we’re just creating capital that way. So it’s going to be a fine line and I wish we could tell you that we have a plan and we don’t want to share with you, that’s in great detail, but we have a lot of ideas, we have a general trend of where we are going, but it is not yet down to an asset by asset plan. A lot of that quite frankly we will be coming to a final conclusion about as we have our property offsite right after yearend results come out.
Cynthia Devine: Right. But as -- Sam, as we said in terms of we recognize that dispositions are lever that help us maintain that debt profile within that 38% to 42% range and as I kind of said in my prepared remarks between dispositions of investment property or things as Ed talked about along with marketable security are opportunities for us to keep that leverage within that very targeted range.
Sam Damiani: Great. Thank you. I’ll turn it back.
Operator: Thank you. The next question is from Pammi Bir from Scotia Capital. Please go ahead.
Pammi Bir: Thanks. Just maybe sticking to the development pipeline for a minute, the timelines can obviously shift. And, Rags, you mentioned the square footage I guess over the next few years. But, what are you targeting for completions in terms of costs over the next, let's say, 12 to maybe 24 months? And then how do those yields for maybe that batch of projects, how does that compare to the 5% to 6% that you have for the overall pipeline?
Rags Davloor: Well, you know the costs are in around -- what we expect for next year is just over a $100 million of deliveries. A big chunk of that is Target because we expect 20 Target stores to get delivered next year. And then we move into 2018, it does step up considerably as some of the larger chunky projects come on swing. When we talk about the yields, we do provide range of 5% to 6% and that’s where we believe the yields will come in.
Edward Sonshine: And just to address one part of your question as well Pammi, on a lot the stuff that we talk about is -- I am sure you noticed that my remarks were brimming with optimism and confidence, in case you didn’t notice, I’m repeating it, but the a lot of the timing on a lot of our projects has become much more certain than it was even six months ago. And that's the big question marks will always the planning process where we’ve come to an end. Once you actually start construction on this process on this development. The flex on the time is measured in months, rather than years. So a lot of -- as we get closer to the real bulge of deliveries, the time actually becomes more certain.
Pammi Bir: Okay. That's helpful. Maybe just sticking to -- or sorry, going back to Target for a minute, can you maybe provide a sense of how much value you think you'll have created once that space is all leased up and factoring in the repositioning costs over the next, call it 18 months or so?
Edward Sonshine: When Target left, we did take a mark on the properties and we used a variety of cap rates obviously. We are replacing the income and most of the cost that we're spending to retenant that actually come from the settlement proceeds that we received from Target. It covered almost all the cost. So when you look at the value pick up, our view is you could be looking at 150 basis points to 200 basis points. So sort of compression in the value through the -- once the income streams come online.
Pammi Bir: Okay.
Rags Davloor: It will be a big number. What it will be, let me know what cap rates and other things will be 18 months from now and I will give you the number then.
Pammi Bir: Okay. We'll ask again in 18 months. And just maybe lastly, we spent -- you spent a lot of time talking about developments. But, on the acquisition side, can you maybe provide some context around your thoughts there? You've had a decent year of activity. A lot of that has come through your JV partners. But, what's the visibility on the pipeline from here?
Rags Davloor: Good question, and virtually all of it I think has come from our JV partners and it has been significant. I think the press release refers to a number of 1.3 billion in Canada -- 1.2 billion thank you Cynthia. The fact is it's a very, very skills acquisition market. Anything that we would like to own isn't for sale. By and large or when the odd piece does come for sale, its priced, quite frankly were it doesn't make sense for us to buy it and at the same time -- and it’s times like this where I think it’s even more important to remain true to the sense of discipline with which we’ve grown RioCan. So just to buy something, to buy something is not in our cards. And we’re starting to run out of partners assets to buy, so there are still a few at we're working on. But you know the third party acquisition market I suspect in 2017 will be a very, very globe shallow pool.
Pammi Bir: Okay. Thanks.
Operator: Thank you. The next question is from Michael Smith from RBC Capital Markets. Please go ahead.
Michael Smith: Thank you. And good afternoon. I'm wondering if you could just give us an update on your rental management strategy, multi-residential management strategy and --?
Rags Davloor: It’s still a work in progress. What we are doing right now is working with different groups we’re bringing in residential partners in several of our sites quite frankly, more from a learning and local knowledge perspective, because certainly we don’t hold ourselves out as experts in such things as, how exactly the suite should be in a particular location, in a particular city or what the proper mix of suites, as between bachelor one, two, and three bedrooms should be. So we are finding it very useful to use that resource. We are talking to a couple of external management groups right now. We haven’t come to any conclusions, but I think we’re going to go -- my best -- and again everything starts to change Michael, but I think we’re going to go with either using partners or third-party management groups to address this business at least over the next few years, until we build up a large enough mass to make it a little more sensible for us to look into investing in our own infrastructure.
Michael Smith: Okay. Good. Thank you. Just sticking to residential, I think you said for your Yonge Eglinton project that you're sticking to your pro forma from a year and a half, two years ago. If I recall correctly, I think you were looking for 3.75 per square foot.
Rags Davloor: Your memory is pretty good.
Michael Smith: Okay. And just it sounds to me like --.
Rags Davloor: Must have been more forthcoming in those days.
Michael Smith: Just switching gears, it sounds to me like you're kind of on a program of selling down the marketable securities?
Rags Davloor: Well, we have a portfolio of marketable securities. And from time-to-time we are going to sell them. When either market time is right for us or we think it’s -- you know we have better use for the funds. So there is no set program, to that point it’s really a question of what’s best for RioCan.
Cynthia Devine: Capital Allocation.
Rags Davloor: Exactly.
Michael Smith: Okay. And just lastly, I think you talked about the health of your portfolio. I wonder if you could just give us some views or some color on the health of your enclosed mall portfolio, sales, performance?
Edward Sonshine: Yeah, I’ll turn that back over to Rags, but just to point out, our enclosed mall portfolio is pretty skinny. Keep in mind we sold off 50% of Georgian Mall and Oakville Mall to the Hudson's Bay joint venture of which they own that the vast majority. And I think Burlington mall is owned 50-50 with another partner, with KingSett. And other than that there is just a couple I think, John well so we got?
John Ballantyne: A few more than a couple, but [indiscernible].
Rags Davloor: So those are the big three and just speaking to sales, I can speak to Georgian and Oakville, they’re over $500 a foot or in around that range. We have seen some improvement. Georgian I would say is the most effected by the current economic environment and sort of the mid-level fashion. So we’re working through that. We’ve had some recent good success. Oakville is going through a redevelopment transition with the interior redevelopment. The Pusateri's did open up last quarter. So, we do expect to see improvements in the Oakville mall. Burlington is also going to go through an interior re-development. The exit of Target actually really did open up an opportunity to put some capital into that mall and raised the profile of that mall. We are seeing considerable success in that area. In the short term we have had some noise, going through those properties. But, we are more optimistic as we go into next year.
Edward Sonshine: It’s a tough business. The less-than-Yorkdale malls is a tough business right now.
Michael Smith: Okay that's fair to say that you've got your fill?
Edward Sonshine: Listen, you never know what opportunity can come along, I mean. But yes it's fair to say that borrowing an opportunity that would work for the Hudson's Bay joint venture where by reason of being having Hudson Bay as a partner value can be added to a mall situation. I would -- with that very important carve-out, I would say that looking for enclosed malls is not anywhere near the top, in fact it doesn’t even make out priority list. Never mind being near the top.
Operator: Thank you. Your next question is from Alex Avery from CIBC. Please go ahead.
Alex Avery: I just wanted to touch on the securities portfolio. You did sell it down, you noted. And you said, from time to time, you'll do things like that. Over the last I guess period of time that you had excess liquidity from the U.S. sale, I can see why you wouldn't necessarily want to generate additional liquidity inside of RioCan as you're redeploying a lot of those proceeds, the Kimco, CPP, etc. acquisitions. But, you've got less excess liquidity at this point. Should we expect that you'll be moving towards winding up that portfolio, or is there some strategic element to having a securities portfolio?
Edward Sonshine: At this point I wouldn't say strategic element to having it. It’s simply a matter of -- Cynthia quite rightly said we are in the capital allocation business. That's a large measure of what we do. And today we're not selling anything. This particular day being Thursday, I think. And I couldn't tell you, there is no program, there is no specific, hey we’re going to wind it up by February 1, none of that it is the case, I know it would be a lot neater for everybody if we could tell you that, but it's simply not the case.
Alex Avery: So, it's been a few hundred million dollars. Is that sort of viewed as like a core asset class through which you deploy your capital?
Edward Sonshine: No, there is certainly not consider a core asset class. I think we'll made a clear Alex, that most likely particularly as our developments spend ramps up over the course of next year and '18. We will likely run that down to a very small number.
Cynthia Devine: Its' a balanced between redeploying it effectively in development or some of our opportunity and so, it's trying to -- exactly as you said, there wasn’t necessarily a need for capital in 2016 with the disposition of the U.S. business. But going forward as we balanced our capital needs in our significant development pipeline than you got to look at what assets do you have that are fairly liquid and not necessarily core.
Alex Avery: Okay. So, I guess just taking a little bit of a longer-term view, the -- I guess the eventual destination of that capital becomes more clear.
Edward Sonshine: Correct.
Alex Avery: Okay. And then just follow-on to the being closed mall discussion you just had you noted as little bit more challenging. Series is a topic and I think you know is probably one that you guys have spent a bunch of time on. Can you just give us an idea of how far events you’re in terms of focusing on those tendencies and plans or other opportunities with those that?
Rags Davloor: We hope also good question. We don’t have a large exposure to Series on the department store side.
Alex Avery: Yeah.
Rags Davloor: We have a one department store I think in Oakville mall, which we are actually in the middle of some conversations with Series above it. Not that they want to give it back, they want to change it around a little. So other than that we had several of the -- their Home Stores and we’re just taking the attitude there that as a Home Stores come up, as their leases expire, we’re going to get them back. But that’s over a period of years.
Alex Avery: Okay. So, you're in discussions at Oakville Place. And that's pretty much the extent of --.
Rags Davloor: Yeah, we just don’t have a lot to do with Series, we really see the -- ultimately if anything does happen at series and I’m not going to comment on that, because I don't -- not inside them, we are well positioned again through our joint venture with Hudson’s Bay to see if there are opportunities for us. So we see Series as an opportunity if and when something happens rather than as a negative.
Alex Avery: And the HomeSense are all very generic in terms of footprint?
Rags Davloor: The Home Stores, HomeSense is a TJX brand. The Series Home Stores are where the around 20,000 feet odd?
John Ballantyne: 25,000 to 35,000
Rags Davloor: Yeah 25,000 to 35,000. So, they're a pretty standard box. You can break it up into a couple boxes and you know we’ve develop plans for the -- I think there are eight stores I think all together?
Cynthia Devine: Yeah, that is nine total and --.
Rags Davloor: Nine total
Cynthia Devine: And Series and then the rest.
Rags Davloor: Yeah, but eight home stores.
Cynthia Devine: Yeah.
Rags Davloor: And we’ve developed plans for those as they comeback as we expect them to come back. Now they may not come back, who knows, they may sell them.
John Ballantyne: They are fairly generic and do have lots of lead time as to how we want to deal with them one-by-one
Rags Davloor: And so over the next four to five years.
Alex Avery: Yeah, no it’s that’ great to hear. Thank you.
Rags Davloor: Well, thank you.
Operator: Thank you. The next question is from Sam Damiani from TD Securities. Please go ahead.
Sam Damiani: Thanks. Just on the residential, again, 10,000 suites on book over the next 10 years, how many suites would be built on your portfolio of real estate that would be owned by third parties in addition to that?
Edward Sonshine: That’s hard. Number of suites by the way is always a hard number, because we deal with GFA when we get our zoning, when we do our planning and then how that gross floor area translates into number of suites is a very particular process that depends on the location. As I was saying suite mix, it depends on whether -- if it’s going to be condominiums, they’re probably going to jam a lot more suites into it than if they were rental. But -- there is enough in our portfolio that -- the third-parties, the condominiums that will be built on top of the residential/rental that we ultimately keep, will number in the thousands. We got a lot of density we’re creating. As Rag said there is 50 sites of ours that we have identified as, they’re transient oriented, they’re suitable for residential investigation, that's a lot of space. I’ll pick one, which I probably shouldn't, but I will. We have the site at Eglinton and Laird. I don’t know when that's going to happen. We have tenants to deal with there. It may be 5 years, it may be 10 years before we are in a position to actually develop it, but it’s -- we are in the process of zooming it and that one site which is 8 acres of land, it doesn’t look like it when you drive by it, but there it a lot of parking and loading areas back there. That can easily accommodate upwards of 1.5 million square feet. So is that 2,000 apartments, maybe a 1,000 of which might be condominiums and a 1,000 of which would be rental, maybe. But to really get pinned down on that is hard. But whichever they are Sam, whether the condominiums that we sell off either the air rights or stay in as a partner in the condominiums process as we have across the street at Yonge Eglinton or we just keep them ourselves or with a partners as rental. There is going to be tremendous creation of value as processes come to fruition.
Sam Damiani: Right. But, just to be clear, the 10,000 number is rental suites you intend to keep.
Edward Sonshine: That it correct.
Sam Damiani: Okay. And just on the density, I noticed the aggregate density on sites where you've made applications has come down a bit from the last quarter. A couple of sites, Scarborough being one, saw significant decreases. I'm just wondering what happened on those two sites.
Cynthia Devine: There isn't anything particular about those sites but what we did in the chart, which I think we hopefully foot noted appropriate, but this is the phase one really of these developments projects that we broke into phases because some of it is out there so long term that we thought we would phase it accordingly. So this is the first phase of the development projects where we are further along.
Rags Davloor: Yes I mean the phasing is a good point and I can't claim to be expert, I mean Cynthia -- and she will do it to make the absolute best disclosure they can. Having said that, reality is something that unfolds over time. For example, we've talked about Gloucester or Rags mentioned Gloucester were we started demolition, I think or we’re starting it this month. It's right next to the main station of the LRT that will be open I think in 2018 in Ottawa, be roughly around when we’ll be completed in '18 and roughly around when we finish our first phase, our first phase I think Rags mentioned was 220 suites in a 23 storied building. But we have the land sitting there ready to go for an additional, I think about 600 suites and 3 more buildings. So how fast that will get built will obviously depend on the success and the rental achievement at the first building. So to really -- I wish I could give you hard and fast numbers, your models would be perfect. But we can't, I think Cynthia and her team do a tremendous job in trying to disclose it the best we can. But to give you exact numbers on a go forward basis because of some of the things I've told you. But I will mentioned one thing that I think is worth mentioning because we are turning into a sustainable company. That Gloucester one is going to be one of the first in Ontario if I’m not mistaken. There is probably others, the first for RioCan we are going to do geothermal heating and cooling on that one which should make the whole place pretty well carbon neutral.
Sam Damiani: That's great. And just quickly on Golf Town, you've got 3 of 12 handed back. Is that kind of all we're going to see there, or do you think it's likely they might hand back more?
Rags Davloor: That’s our understanding at this point. When they go through these restructurings, we're not necessarily right in the middle of it as far as what their plans are, but that’s -- we believe right now that’s what we received disclaimers on.
Sam Damiani: Okay. Thank you.
Operator: Thank you. There are no further questions registered at this time. I would like to turn the meeting back over to Mr. Sonshine
Edward Sonshine: Well, again the questioners, thank you. It’s perfect time, it’s almost 3 o’ clock. This was a sort of different for us, I hope it worked for everybody else. So I think it gave everybody a couple of extra hours to look at all the voluminous information we released. Thank you for your interest and I look forward to talking to you again all in next quarter. Thank you.
Operator: Thank you, Mr. Sonshine. The conference has now ended. Please disconnect your lines at this time and thank you for your participation.